Operator: Thank you for standing by, and welcome to the AllianceBernstein Holding L.P. First Quarter 2025 Earnings Review. At this time, participants are in a listen-only mode. After the remarks, I will give you instructions on how to ask questions at that time. As a reminder, this conference is being recorded and will be available for replay on our website shortly after the conclusion of this call. I would now like to turn the conference over to the host for this call, Head of Investor Relations for AllianceBernstein Holding L.P., Ioanis Jorgali. Please go ahead.
Ioanis Jorgali: Good morning, everyone. And welcome to our first quarter 2025 earnings review. This conference call is being webcast and accompanied by a slide presentation that's posted in the Relations section of our website, www.alliancebernstein.com. With us today to discuss the company's results for the quarter are Seth Bernstein, President and CEO, and Tom Simone, CFO. Onur Erzan, Head of Global Client Group and Private Wealth, will join us for questions after our prepared remarks. Some of the information we'll present today is forward-looking and subject to certain SEC rules and regulations regarding disclosure. So I would like to point out the safe harbor language on slide two of our presentation. You can also find our safe harbor language in the MD&A of our 10-Q, which we filed this morning. We base our distribution to unitholders on our adjusted results, which we provide in addition to and not as a substitute for our GAAP results. Our standard GAAP reporting and a reconciliation of GAAP to results are in our presentation appendix, press release, and our 10-Q. Under Regulation FD, management only addresses questions of material nature from the investment community in a public forum. So please ask all such questions during this call. Now I'll turn it over to Seth.
Seth Bernstein: Good morning, and thank you for joining us today. Against the backdrop of escalating uncertainty around trade policy and economic growth, AllianceBernstein Holding L.P. delivered another strong quarter. Our results highlight the strength of our franchise, the depth of our investment expertise, and the breadth of our globally diversified platform. On slide three, I'll review the key business highlights of our first quarter. First, all three of our distribution channels grew organically in the first quarter, generating $2.7 billion in firm-wide active net inflows. Our differentiated distribution platform gives us an edge in growing markets like Asia, US high net worth, and insurance, where we've consistently gained market share, including in the first quarter of 2025. Coupled with the extensive range of our investment capabilities that span across traditional and alternative assets, we're strategically positioned to help our clients navigate turbulent markets and benefit from rapidly emerging trends. Fixed income reallocation theme is a prime example of our ability to capture demand where it exists, having generated over $35 billion of active income inflows over the last two years. Even amidst the return of rates volatility and heightened policy risk, we successfully generated $1 billion in active fixed income inflows during the first quarter of 2025. Despite the downturn in overseas demand for our taxable fixed income strategies, largely driving a $1.4 billion in firm-wide taxable outflows, we continue to enjoy robust growth for our tax-exempt franchise, which generated $2.4 billion of inflows. Our industry-leading retail meeting platform has been a driving force of organic growth, achieving an impressive 19% annualized growth rate in the first quarter. Over the past five years, Retail Tax exempt has consistently grown at double-digit rates, reaching $46 billion in AUM, more than doubling in size since 2020. Secular growth and private alternatives is another theme that benefits us. During the quarter, we had over $2.5 billion of institutional deployments into our private markets platform, coupled with inflows from high net worth into our asset-based finance and private credit strategies. Active equity outflows of $2.5 billion moderated compared to recent quarters, with institutional redemptions slowing down while retail flows flipped back to positive. In the first quarter of 2025, we generated $500 million of retail inflows driven by solid demand for our U.S. Large Cap Growth, Global Strategic Core, U.S. Select, and our Security of the Future strategies. Secondly, we are actively expanding our private market platform by deepening existing partnerships, establishing new ones, and diversifying the growth avenues of our business. Our fee-paying and fee-eligible assets under management have reached $75 billion as of quarter-end, marking a 20% increase compared to a year ago. We have successfully deployed nearly 40% of Equitable's second $10 billion commitment and are leveraging our expertise to extend the addressable market with institutional and retail-oriented solutions. We are replicating the success of our evergreen capabilities in the middle lending that have been historically marketed within our private wealth channel. We're excited with the momentum we're seeing as we extend our private credit franchise to the institutional channel with customized solutions. In asset-based finance, we're expanding our retail offerings to help our own private wealth clients access this exciting new asset class while also venturing into new distribution platforms. Our credit opportunities interval fund has exceeded $200 million in assets under management, including allocation from third-party retail clients. In the first quarter, we've engaged with nearly a dozen new RIAs, and we're encouraged by the increasing number of advisors exploring alternative investments with AB. We continue to leverage our strong local relationships in the RIA channel. We already partner with national aggregators and independent advisers in areas such as municipal bonds. Third, our diversified asset mix coupled with our enhanced operational efficiency provides downside protection to our revenue base and to our margins. As asset managers, we value diversification, and we've developed an all-weather platform that mitigates concentration risks by geography or asset class. With liquid and illiquid credit accounting for nearly half of our assets under management, we believe we're less vulnerable to significant equity market downturns. The strategic initiatives we completed last year optimized our expense structure to expand the upside from favorable market conditions while also fortifying our business against downturns. We enter a turbulent market environment from a position of strength. Fourth, we have a durable base fee rate that has held relatively steady over the past several years. Our all-in fee rate, including base and performance fees, is another differentiating factor for AB. This relative stability results in symmetrical growth between our management fees and our AUM. Moving on to slide four. I'll highlight our strengthening relationship with Equitable. We firmly believe that being affiliated with a leading insurance provider is a competitive advantage for AB. Leveraging the permanent capital commitment from Equitable allows us to seed and scale our higher fee, longer-dated private alternative strategies. Investment-grade quality private credit is a key growth opportunity for both Equitable and AllianceBernstein Holding L.P. We've now deployed nearly $14 billion of the $20 billion committed by Equitable. This has enabled us to build out new capabilities like residential mortgages and private ABS, which we intend to expand with our other insurance and institutional clients. We continue to scale our distribution, leveraging our leading brand awareness and our expertise in vehicle versatility to expand our third-party growth avenues. This virtuous circle of delivering additional yield to our partner's balance sheet while seeding new strategies with permanent capital enables AllianceBernstein Holding L.P. to sustainably expand our business. We remain on target to grow our private market AUM to $90 billion to $100 billion by 2027. Slide five reflects a summary page with our key financial metrics. Tom will follow up with more commentary on our results. Turning to slide six, I'll review our investment performance starting with fixed income. Despite resurgent rates volatility driven by inflationary pressures caused by policy uncertainty, bonds served as a safe haven during the first quarter of '25 with Bloomberg's U.S. Aggregate index returning 2.8%. Our fixed income performance benefited from active duration management and our allocation to investment grade. While our security selection within high yield detracted from relative performance. Overall, our performance improved with 64% of our AUM outperforming over the one and three-year periods, while 81% outperformed over the five-year period. Quarter-to-date dynamics have been tumultuous with markets reacting sharply to tariff headlines, global growth uncertainty, and shifting demand for US treasuries. Despite policy risks intensifying and credit spreads widening to levels reminiscent of the regional banking crisis in 2023, fixed income is proving relatively resilient compared to the significant drawdowns we've seen in US equity markets. For example, at the peak of the drawdown caused by a tariff announcement, the S&P 500 was down 15%, while the US high yield index was down less than 2%. While the elevated rate volatility made down sentiment and appetite for duration, we view the value proposition for fixed income as intact. Specifically, we see the belly of the yield curve as an attractive spot to manage duration risk given the ongoing buildup of term premia. Credit remains an area of opportunity with all-in yields over 8% presenting an appealing risk-adjusted return profile compared to long-term equity forecasts. With policies still in motion, markets may continue to react faster than fundamentals, creating dislocations as well as opportunities for new investors. In this environment, we're constructive on fixed income, and we have the right strategies to compete for the next wave of the reallocation. Turning to equities, near record high valuations in US equities combined with a dimming economic outlook for the US arising from a changing trade policy triggered a rotation into international equities. The percentage of AUM outperforming over the one-year period deteriorated to 23%. The shift was primarily driven by our U.S. Large Cap Growth fund distributed in Japan flipping from above to below median. A significant factor contributing to this change was the strengthening of the yen during the quarter, impacting comparisons against other local growth managers. The three-year figure had improved to 52%, while the five-year declined to 45%. This performance trend reflects the market dynamic of the excessive concentration in a few mega cap names within the AI scene. Our investment focus on companies demonstrating consistent growth with a disciplined approach to valuation also posed challenges in the later half of 2024. Year-to-date, despite the volatility following the tariff announcements in April, our active platform has demonstrated significant relative performance. U.S. Large Growth has generated nearly 300 basis points of relative outperformance, positioning it near the top decile year-to-date. Our strategic core portfolio is designed to offer downside protection in volatile environments, having outperformed their benchmarks by 300 to 400 basis points year-to-date. Furthermore, our global, international, and emerging markets portfolios have established track records that have exhibited strong performance. Additionally, our US core strategies, select equities, and US strategic equities have continued to deliver robust returns following a successful year, showcasing their ability to generate alpha across various market conditions and attracting client interest. Overall, we had eight active equity strategies that generated over $100 million in inflows during the first quarter of 2025. Now turning to slide seven. Retail posted its seventh straight quarter of positive net flows, with sales continuing to track at record pace levels, offsetting elevated redemptions during a turbulent quarter. Actively managed asset classes were inflowing in the first quarter, led by enduring organic gains in tax-exempt, solid inflows into multi-asset, and modest inflows into active equities. We continued to gain retail market share in tax-exempt for the ninth consecutive quarter, growing at a 19% annualized rate. Our all-market income strategy drove multi-asset sales in the first quarter, particularly out of the Asia Pacific region. Active equity also grew organically, supported by continued inflows into our US Large Cap Growth strategy in addition to Global Strategic Core and U.S. Select Equity. Thematic investing is another area with significant potential. Our Security of the Future portfolio continues to attract solid inflows, surpassing $1 billion in AUM just one year since we launched. Diversifying our product offerings remains a cornerstone of our distribution strategy, and we're very pleased with the early success we're seeing as we scale our services across our global footprint. Offsetting our organic gains are taxable fixed income franchise posted outflows of $1.4 billion, primarily as our marquee income strategies AIP and GHG had outflows given the uncertain rate outlook. Base management fees grew 10% year over year, reflective of market growth and organic flows, while they were down 3% versus the prior quarter due to the equity drawdown. Organic base fee growth was 2% over the last twelve months and slightly below 1% as of the first quarter. Moving to slide eight. Institutional sales inflows rebounded in the first quarter of 2025 to the highest level since the fourth quarter of 2022, breaking a streak of persistent outflows. Channel inflows were driven by an accelerated pace in alternative deployments across various services, including private placements, commercial real estate debt, residential loans, and CLOs. Active equity outflows of $1.9 billion in the quarter moderated versus recent trends. Our pipeline grew to $13.5 billion in the first quarter, up $2.8 billion sequentially, reaching its highest levels in the seventh quarter. Note that institutional fundings also accelerated roughly $3 billion in pass-through mandates that were not captured within our pipeline. The decrease in the pipeline fee rate was mainly attributed to the addition of the sizable lower fee mandates, including an $800 million in passive index equities and $1.1 billion in systematic fixed income. Our ongoing efforts to market our systematic strategy continue to attract strong client interest, enabling us to grow our institutional market share in fixed income. However, these mandates tend to be lower fee and will impact the pipeline fee rate. Turning to slide nine. Private wealth posted solid inflow in the first quarter, growing to an annualized organic growth rate of more than 2%, the fastest pace in two years. As a reminder, our private wealth net inflows exclude reinvested dividends and interest income, which is typically reported within net assets across key wealth management peers. Our organic growth was fueled by increased sales momentum, underscoring robust client engagement and adviser productivity. We're still focused on supporting and growing our adviser sales force, ramping up our recruiting effort in line with our long-term target of 5% headcount growth. Demand dynamics within the channel were positive across all asset classes except for active equity. Fixed income inflows exceeded $800 million, driven by our muni tax-aware strategies, money markets, and Global Plus. Solid demand for our passive tax harvesting strategy led to $600 million in inflows into passive equities, growing organically at nearly a 10% annualized rate. Alt's MAS inflows of nearly $500 million, growing at a 7% annualized rate, marked the eighth consecutive quarter of organic growth through alternatives and multi-asset within Bernstein. Private alternatives, including real estate debt, CarVal, and private credit, accounted for approximately half of those inflows. Fundraising and private alternatives continued to be a significant driver for channel activity, with approximately $400 million raised in the first quarter. Base management fees grew 10% year over year and came in flat sequentially. Channel revenues were up 6% versus the prior year and down 17% quarter over quarter, primarily due to performance fees typically crystallizing in the fourth quarter. Before moving on to our financial review, I'm delighted to introduce our newly appointed CFO, Tom Simeone. Having had the privilege of collaborating with Tom for several years, I'm eager for our unitholders, analysts, and all stakeholders to have the opportunity to become acquainted with him. Tom?
Tom Simeone: Thank you, Seth. Good morning, everyone, and thank you for joining our call. During my twenty-year tenure at AB, I've had the privilege of serving in various roles across the organization. This has taught me what sets AB apart. I am enthusiastic about the future that lies ahead and excited to share our financial results with you today. Let's delve into the details. We continue to deliver strong financial performance in the first quarter, reflecting solid growth in asset management fees and focused expense discipline. First quarter adjusted earnings of 80¢ per unit were up 10% versus the prior year, benefiting from strong markets early in the quarter, sustained organic growth, a durable fee rate, and solid margin expansion. Distributions and EPU grew uniformly as we distribute 100% of our adjusted earnings to unitholders. On slide 10, we show our adjusted results, which remove the effect of certain items not considered part of our core operating business. For a reconciliation of GAAP and adjusted financials, please refer to our presentation appendix or our 10-Q. First quarter net revenues of $838 million were down 5% versus the prior year and up 6% on a like-for-like basis, excluding Bernstein Research. First quarter base fees increased 8% versus the prior year, in line with the growth in our firm-wide average AUM. Performance fees of $39 million increased by $12 million from the prior year period, reflecting sustained alpha generation from our international small cap and middle market lending strategies. Dividend and interest revenue, net of broker-dealer related interest expense, declined versus the prior year, which reflects lower cash and margin balances within private wealth. In the first quarter, we had an $11 million loss as compared to a gain in the prior year period related to our seed-like capital and other investments. Moving to expenses. Our first quarter total operating expenses of $555 million declined 10% year over year, reflecting the deconsolidation of Bernstein Research as well as lower occupancy costs from our New York office relocation and a lower compensation ratio. Total compensation benefits expenses of $414 million declined by 6% versus the prior year in absolute terms. This reflects a 48.5% compensation ratio of adjusted net revenues in line with our guidance, below the 49% ratio in the prior year period. We will continue to accrue at a 48.5% compensation to revenue ratio in the second quarter of 2025. We are mindful of market volatility and may adjust this in the second half of the year, depending on conditions. Promotion and servicing costs decreased by 36% from the prior year, primarily reflecting the significant reduction of trade execution and clearance expenses from Bernstein Research in addition to lower marketing expenses. G&A declined 13% versus the prior year period, primarily driven by occupancy savings from our New York City office relocation coupled with lower professional fee and portfolio servicing costs. The first quarter run rate of our non-compensation expenses is tracking better than our guidance as we are exercising expense discipline in the face of a deteriorating market backdrop, underscoring our improved operational flexibility. We maintain our guidance of $600 to $625 million of full-year 2025 non-compensation expenses but will continue to exercise expense discipline given volatile markets. As a reminder, promotion and servicing makes up roughly 20-25% of non-comp expenses, and G&A accounts for 75-80% excluding one-time items. First quarter interest on borrowings decreased by $10 million versus the prior year, due to a lower cost of debt and lower debt balances. Please note that we intend to increase leverage during the year to fund our commitment to the Ruby Re sidecar and take advantage of any other potential growth opportunities that may arise. ABLP's effective tax rate was 6.2% in the first quarter, in line with our full-year guidance of 6% to 7%. Transitioning to slide 11, let's take a look at the trajectory of our firm-wide base fee rate, which is net of distribution expenses. In the first quarter, our firm-wide fee rate stood at 39.5 basis points, slightly higher versus the first quarter of 2024, supported by AUM shifts between asset classes and channels. Looking forward, I would note that we may see less support from mix shift given market movements in March and April, which could put downward pressure on the fee rate. This dynamic was somewhat evident in the first quarter as the decline in fee rate from the fourth quarter of 2024 was primarily attributed to the adverse effects of the downturn in equity markets during the latter part of the quarter. The decrease was particularly influenced by the drawdown in US equities, which constitute approximately three-quarters of our total equity assets. Although non-US equities performed better, their smaller share of our asset allocation only partially mitigated the overall negative impact on the fee rate. In contrast, fixed income markets outperformed equities in the first quarter of 2025. While this provided diversification benefits to our assets under management and revenues, our fixed income strategies typically command lower fees, particularly for our institutional side. While our fee rate will remain mix-dependent, we have managed to deliver a durable fee rate over time as our regional sales mix and select growth initiatives have mitigated some of the fee erosion witnessed across the industry. Slides 12 provide the detailed breakdown of our performance fees by private and public strategies. Performance-related fees from our private alternative strategies totaled $20 million during the first quarter. On the public front, our international small cap strategy, which has consistently outperformed the benchmark over the one, three, five, and ten-year periods, yielded $19 million in performance fees. Although public alpha is volatile and more difficult to predict, our public strategies enhance our market leverage profile and provide additional upside tied to the public markets. As a result, we're revising our annual performance fee expectations to $90 to $105 million, up from the prior projection of $70 to $75 million. For the remainder of the year, we expect our private alternative strategies to be the primary contributors to our performance fees, as they have been in recent years. These strategies include commercial real estate debt, AB CarVal, and AB Private Credit Investors or AB PCI, which is the largest contributor. Although certain strategies exhibit greater volatility than others, we anticipate an additional $50 to $60 million of hurdle-based performance fees for the remainder of 2025. It is important to highlight that our estimate factors in a lower interest rate environment. However, a wide range of rate cut projections obscures our visibility on the potential impact from such cuts. Turning to slide 13. We saw solid margin expansion during the first quarter of 2025. Adjusted operating margin reached 33.7%, up 340 basis points versus the first quarter of 2024, demonstrating our improved operating leverage following the completion of both the Bernstein Research JV and the move to Hudson Yards. Our forecast for a 33% margin for 2025 assumes flat markets from year-end 2024 levels. If the recent market weakness continues, it could put downward pressure on future margins, although we will also actively manage expenses. While we are keenly focused on margins, we are also committed to investing in growth and generating long-term value for our unitholders. As part of our strategic planning, we have allocated resources for targeted growth investments such as onboarding new investment teams and introducing new products, with the expectation that these endeavors will yield enhanced returns over time. Before we move on to the Q&A session, I want to extend my heartfelt appreciation to all my colleagues throughout our organization for their unwavering dedication. It is a privilege to assume the CFO role, and I'm eager to contribute to our collective success and create value for our clients, our unitholders, our colleagues, and all our stakeholders. With that, we're pleased to answer your questions. Operator?
Operator: We will now begin the question and answer session. If you would like to ask a question at this time, please press star followed by the number one on your telephone keypad. Please limit your initial questions to two in order to provide all callers an opportunity to ask questions. You are welcome to return to the queue to ask follow-up questions. Your first question comes from the line of Alex Blostein with Goldman Sachs. Alex, please go ahead.
Alex Blostein: Hi. Good morning. Thank you. And, Tom, welcome to the call. Question to you guys starting maybe with asset allocation trends you guys are seeing so far in the second quarter. Obviously, super volatile backdrop, lots of uncertainty. Seems like the retail channel is starting to look a little bit softer, including on the fixed income side, which has been historically a source of strength for you guys. So how do you expect the retail channel, I guess, to behave as we kind of deal with the current backdrop? And, Seth, curious, in particular, when it comes to non-US retail, given your distribution footprint there, how that channel is performing and the outlook there? Thanks.
Onur Erzan: Sure. Hi, Alex. Onur here. I'll take the question. In terms of asset allocation, then switch to non-US retail. What we are seeing is driven by largely what's happening with the treasuries and the rates. Obviously, the continued Fed uncertainty with the rate cuts as well as the tariff policy uncertainty is creating some confusion in the market. As a result, we have seen, starting in Q1, some outflows out of retail taxable fixed income, particularly in the overseas markets, our flagships like Hong Kong, Taiwan. This is not a first-time or a new thing. We have seen this trend in the past. There were times like COVID or 2022. When the rate cuts happen, when the shape of the yield curve gets solidified with the steeper yield curve, our strategies go back to strong inflows. So as a result, although this current volatility is not going to help in the very short term, we believe it will continue to support us in the long term. And as you recall, when there was an asset rebalancing into taxable fixed income, we were one of the first beneficiaries of that, and we gathered close to $35 billion of net flows from taxable fixed income. So definitely, it will help us in the long term while it might partially hurt us along with others in the short term. However, balancing some of that is the strength of our tax-exempt franchise in the US as well as our growing ETF franchise, which obviously caters to a slightly different audience. With the active ETFs being 100% US today. So overall, we continue to see relative strength in our US unit business and overall we believe we're really confident about the long-term prospects for flexible and tax-exempt fixed income. In terms of the non-US geographies, I already touched on the fixed income. I'm not going to belabor further into that. In terms of equities, as you know, we run the largest active equity strategy in Japan. And that strategy delivered very strong flows in the first quarter. We continue to monitor what's happening not only with equity markets but also with the dollar-yen dynamics. However, even if, you know, the second quarter might be a bit softer with the, again, equity market and FX volatility. The structural trend in Japan is the growth of the retirement market. With the Nisei accounts. And we play well into that retirement money, which tends to be stickier, more long-term oriented, less short-term. And we expect to have strong growth in our Japan franchise leveraging that retirement trend.
Seth Bernstein: Alex, I'd just add that as I've said in my earlier comments, we believe the fixed income thesis remains intact despite what has been remarkable volatility. And, you know, when you look at sort of yields of 8% out there, and they could get higher for sure, but they look pretty good relative to any kind of long-term expectations of equity returns right now. And I think risk aversion will probably remain present for a while. And so I think once the stability begins to reassert itself, I think there's pretty attractive opportunities out there for people who don't want to venture back into equities so quickly. But that will take some more time to figure out. But it's also worth noting that our own retail flows have certainly stabilized in recent days at a better level. So look, we are monitoring it just like everyone else is, and can't predict the future. But I like the mix of businesses we have and our emphasis on fixed income in a time like this.
Alex Blostein: Yep. Agree with you there. Thanks. A good great detail. For my follow-up question, I just wanted to ask you guys around the Equitable dynamics. Now with the tender results now and participation was relatively limited. And I was curious if you could expand on maybe some of the structural benefits to Equitable from having AllianceBernstein Holding L.P. as a public company? Do you ultimately see them, you know, willing to acquire more over time, or kind of how do you think that plays out over the next several years?
Seth Bernstein: Thanks, Alex. Well, first thing I'd say is you all cover Equitable, and you should certainly ask them the question yourself. We took it I take it, as a vote of confidence in this business that they had decided to make such an endeavor to increase their holdings in AB in the manner that they did. I think the premium clearly didn't convince a ton of people to tender into it. And I think a part of that is the very high distribution yield we offer, remains pretty attractive, particularly in times like this. To clients. And so I do think and know that Equitable understands the logic of maintaining the independence of AB frankly, for several reasons. One, our employees like the clear alignment. And the recognition that a public security has for their endeavors. And we don't take that lightly from a deferred compensation as well as a clear understanding of the business and its goals. Secondly, Equitable sees this as a more attractive currency potentially as we continue to look for opportunities to supplement our product or distribution capabilities. And so we want that as do they as a potential option. As you know, we've used it before. Whether it was the purchase of CarVal or in other contexts. And I guess, finally, I would say to you that they get it's a pretty tax advantageous position that they have today. In their position as a private partner. As well as owner of public units. To have AB in the current status as a partnership. So there is no change in our view in that, and I don't believe there's a change in their view.
Alex Blostein: Right. That's super helpful. Thank you, guys. Next question comes from the line of Craig Siegenthaler with Bank of America. Craig, please go ahead.
Craig Siegenthaler: Good morning, Seth, and I hope everyone's doing well. I had two follow-ups to Alex's last question. The first one is, is EQH taking a more active role in the management of AB, which I thought was run fairly autonomously over the last twenty years across three CEOs. And then the follow-up would be are there any limits in place to prevent EQH from buying more stock in the future.
Seth Bernstein: There has been absolutely no change in the engagement or activities of Equitable versus the operations of AllianceBernstein Holding L.P. We continue to operate autonomously with its independent members board with independent members. We continue to set our own comp to revenue ratio in consultation, of course, with our board. And we intend to have that continue. So there's been absolutely no change, Craig, in that regard, and there's no change anticipated. Additionally, equitable there is no technical restriction that I'm aware of that precludes Equitable from potentially buying more units. And indeed, as you might have recognized that when we entered into the RGA transaction, we actually funded that acquisition through an investment Equitable made in units of private units of AB. To facilitate that. We raised $150 million to do that. I can see that ownership stake rising or falling depending on our acquisition activity. And I'd point out that it had fallen, as part of the acquisition of CarVal. So there isn't a limitation, Craig, that I'm aware of.
Craig Siegenthaler: Thanks, Seth. Just a follow-up. Your retail muni SMA flows have been really, really strong. They might actually be the leading driver of organic growth at AB, but you can correct me there if I'm wrong. But we know US lawmakers now are discussing the removal or even cap of the tax exemptions on muni bond interest. So if enacted, do you see that as a headwind to flows, or do you think the secular drivers of munis in the SMA wrapper are so powerful that can sort of power right through that sort of issue.
Seth Bernstein: Look. We spend a lot of time focusing as you might imagine, on what's going on in the reconciliation discussions in Washington. And as you know, muni deductibility has come up before. Our own view is that there won't be a repeal and that's what we hear from people we talk to in but it ain't over until it's over. So I recognize that. There may be areas within the high I'm sorry. Within the muni market that might see some sort of restriction. Or other ways, for example, limiting higher income individuals' ability to take that deduction. But our view is that the importance that muni financing has to states and municipalities is so critical and fundamental that we don't think that full repeal is on the table. But, obviously, we're watching it carefully. To answer your question more directly, I think in the event that such a change happened and it was repealed, I think you would certainly see a onetime reaction to that in the repricing of the sector to accommodate it. I think that would be a likely outcome, so there would be a shock to that market that would affect flows. But, ultimately, muni credit quality and credit migration is much slower as you know, I think, than corporate migration. It has been a very comfortable place for people to keep a portion of their retirement savings. And the need for income, if anything, is even greater than it's been before. And I don't see a better substitute for it. Now it may what constitutes a taxable American holdings may change to include nonmunicipal fixed income assets. That may well happen, but I think people are very comfortable investing in that space and will continue to be an important part of people's retirement.
Onur Erzan: And the also, the positive is in a scenario where there are no major changes, which is probably the best case scenario, you would expect, also some increased demand because there has been some volatility with some cautious overissuance of muni bonds in the first quarter. So there was a demand supply imbalance. That created a yield outlook that is even stronger than before, also relative to treasuries. So although negative, scenarios are out there and that there's definitely some risk, also, there is an upside when the markets normalize in terms of the tax-protected yield and high net worth and ultra-high net worth clients kind of using it as they always did over the last decades.
Craig Siegenthaler: Thanks, Onur.
Operator: Your next question comes from the line of William Katz with TD Cowen. William, please go ahead.
William Katz: Okay. Thank you very much. And, Tom, congratulations on the new role. Maybe start with on the expense side. I think if I heard you correctly, no change to the prior guide on non-comp of $600 million to $625 million. So is the first quarter just some delay of spend and that might accelerate into the back half of the year? Or what kind of flex would you have if the revenue backdrop were not to play out against your base assumptions?
Tom Simeone: Yeah. William, this is Tom. Thank you. You have it right there. $600 to $625 million, we're gonna remain sticking to that guide for now. Q1 is a bit lower. We do see some spend increasing throughout the remainder of the year. And based on that, if you annualize Q1, you'll see that we do have some flex. So we do have some levers that we can pull if we need to reduce expenses during the year. Look. If we don't see that base case roll forward, we're gonna need to take a more cautious route in spending.
William Katz: Right. Is that what you're net?
Tom Simeone: Yeah. Yes. For sure. Thank you. And then maybe a big picture question. Doing very well on the all side. I think we're to unpack that a little bit. What's the allocation in the private wealth side now to all how much further do you think you have to sort of take that think last recollection was something around 10%, but just correct me on that. Then maybe you could unpack a little bit about some of the success factors you're having on the third-party side, which products you're seeing the most traction and where you see the greatest incremental distribution, connectivity. Thank you.
Onur Erzan: Sure. Yeah. Your recollection is right. We tend to have around 10% allocation in the client portfolios today. If you look at our overall AUM, particularly for certain client segments, like ultra network clients, obviously, family offices, that target allocation is much greater 20% or above. So there is definitely more upside, and, hence, we have a pretty robust product pipeline, not only to drive allocations from existing clients but use new products to acquire new clients. Mean, actually, if you look at our first quarter if I were to quote the net new assets, which is different than net flows. So if you were to look at it like a wealth manager, our annualized organic growth rate was 6.5% on a net new asset basis. So as a result, as the net new assets growth materializes, that will benefit alternatives. At the current rate, it is 10%. And with the ultra-high net worth and family office and even at a greater rate. In terms of the demand, it's broad-based. Obviously, private credit is a big part of the story. But, also, for our private wealth business, we onboard best-in-class managers that are additive in other adjacent asset classes, whether it's in real estate equity, venture capital, etcetera. So it's going to be relatively broad-based in our private wealth channel. But the trends in private credit strategies we offer, whether it's middle market lending, whether it's the CarVal strategies, the demands stayed strong in the first quarter, and expect it to remain that way for the rest of the year. In terms of other channels and where we are seeing the demand broadening, insurance definitely has been an uptick. As you know, we have been focusing on building on insurance capabilities globally. Leveraging some of the equitable synergy Equitable is now almost $13.5 billion into their $20 billion overall commitments. And that helps us broaden the strategies we offer. For instance, the new private placement ABS that we added in the fourth quarter of '24, already is contributing to our flows. Raise the mortgage platform is broadening out of CarVal. So there are a lot of bright spots. And we started to see an increase pool for from third-party channels, including third-party insurers into our middle market lending strategy as we create different leverage levels for the product and insurers typically prefer lower leverage versions of the product. So we are definitely broadening the client base for direct lending in the insurance channel. So I expect the insurance to be a very strong contributor to our alternative growth in private credit across core direct lending, real estate debt, as well as specialty finance. And hard assets from CarVal. On the retail side, our interval fund and the BDC kind of product are in the markets. Our focus in the US has been the interval funds. Given the broad appeal and ease of deploying that strategy. The minimums are low. It's a 40 act product. So and the sub docs and the whole client experience is much smoother than some of the more complex solutions. We are approaching several hundred million dollars in that product already at the twelve-month mark. Is in line with our plans. And hitting that threshold allows us to have broader conversations with larger broker-dealers and warehouses, and we expect to onboard a large broker-dealer in that strategy, this quarter while seeing also continued demands from the RIAs. And in terms of product extensions or products that are getting interest in the overseas markets, there's definitely interest in non-correlated assets. Some of the asset-based finance is definitely interesting to our clients seeing strong demand, as well as our aviation income, which is little niche, but definitely seen as a less correlated product from the client base.
William Katz: Thank you very much for that.
Operator: Your next question comes from the line of Benjamin Budish with Barclays. Benjamin, please go ahead.
Benjamin Budish: Hi, good morning and thanks for taking the question. I wanted to check on your private markets fee expectation. I guess, Tom, it sounds like you indicated that the expectation for this year was a guide up. When I was looking at the transcript from the last call, I think the commentary was $70 million to $75 million of recurring hurdle-based performance fees. Just want to make sure I have the sort of apples-to-apples comparison. And then the other piece I was curious about in the slides you indicate that AB PCI is the majority of private markets performance fees. Curious, could you remind us what were the other big pieces in 2023 and 2024 drove higher private markets fees? And is there potential for that to recur if conditions are correct? Or do you feel pretty good about the sort of 70% to 80% full year that you're looking at for '25?
Tom Simeone: So the other performance fees in 2024 were CarVal, PCI, and real estate. Is that what you're getting at there? Are you trying to understand the difference between '24 and projected '25?
Benjamin Budish: Yeah. Just the commentary. So the or sorry. The it's the commentary for '25 for what you gave last quarter versus what you're saying today. So how does the 70 to 75 compare to what you're saying today of 90 to $105 million. Like, I assume the prior would not have included public markets, but
Tom Simeone: Yeah. We had some international SMID that resulted in about $19 million of performance fees in Q1. And that's why what that's what's leading to the revision upward. So the public markets forecast hasn't changed. The private markets forecast has not changed. But what increased it overall is because we had some public performance fees in Q1.
Benjamin Budish: That's helpful. And then maybe a broader question on private markets. You talked a bit about investment-grade private credit. It's a huge theme we hear about from some of the other alternative managers. Just curious how much of your private markets activity today is investment grade? And when you talk about sort of expanding to other third-party insurance partners or other LPs sort of or even other wealth clients sort of outside your current your wealth business, how important is investment grade as part of that strategy? Thank you.
Onur Erzan: It's primarily an insurance story. When it comes to private wealth or third-party retail. Even the larger parts of the institutional markets that typically IG is not the dominant strategy, although it might be appealing in certain jurisdictions like Japan, etcetera, where they might be looking for some diversification from fixed income, but not the full risk exposure to the wider credit market. Within insurance, definitely, it's the highest growth part of our market. That's why we have been expanding our IG capabilities significantly either through team extensions as well as additional leadership talent. I mean, that was one of the reasons why we brought Jeff Cornell from a large insurance company who was the CIO there to lead our insurance efforts. That was back in May '24, as you might recall. And that has been a large part of our growth. In terms of specific percentages, I don't have it offhand, but again, in terms of net flows into private credit in insurance, IG has been the disproportionate amount, and I will expect it to remain that way.
Benjamin Budish: Alright. Thank you very much. Very helpful.
Operator: Your next question comes from the line of Daniel Fannon with Jefferies. Daniel, go ahead.
Daniel Fannon: Thanks. Good morning. Just wanted one more clarification on the performance fee outlook. Is the public markets numbers, this is just being conservative where you're assuming no performance fees because the performance is yet to be crystallized. Or is there a start of the year? Can you give us an update maybe on how those strategies are looking to give us a sense of what that might actually come to?
Tom Simeone: That's exactly right. The public markets don't forecast generally because they need to be crystallized.
Daniel Fannon: Understood. And then just a follow-up on adviser productivity. And just within the private wealth. You talked about that improving. Can you talk about the mix of new advisers versus existing advisers and whether the newer ones coming onboard that you're actively recruiting more are the ones that are more productive or it's more broad-based?
Onur Erzan: It's more broad-based. Our strength in the private wealth channel has been the retention of our most tenured and most productive advisers. We have I think, above industry retention rates. And that has been a very strong contributor to productivity. And when we recruit, as you know, our recruiting mix tends to skew towards younger advisers, where we train. And developing our own model. Although we are adding more experienced advisers at a slow rate, consciously, right now, the recruiting mix remains heavily skewed towards younger advisers that we mold into our model. But there's definitely some upside from adding more experienced advisers over time. And we have a dedicated team effort to accelerate that in the coming quarters.
Operator: Again, if you would like to ask a question, simply press star followed by the number one on your telephone keypad. Your next question comes from the line of William Katz with TD Cowen. William, please go ahead.
William Katz: Thanks. I just appreciate the follow-up. A couple of, sort of modeling nits just tracking too. Tom, just to follow-up on the public side of performance fees. Is there a way to give us a sense of either AUM that are eligible for performance fees and or how these those relative fund those funds are doing either relative or absolute return at the end of the Q1 versus maybe 12/31. As we think through, you know, sort of the incremental upside?
Tom Simeone: I think you're asking about the private side there, William, and those are very predictable. And those are recurring and consistent.
William Katz: So that's why I'm very said comp. I'm sorry to interrupt. No. It's more on the public side. Just trying to get a sense of what how to think through the upside to that zero to 5 million guide here on page 12 of the slide deck. Think about just how is absolute relative performance sitting at three thirty-one versus twelve thirty-one, or are there any high watermark issues that we have to sort of contemplate?
Tom Simeone: With the volatility in the market, it's hard to respond to that one right now. From both an interest perspective and then just the equity markets and what they're doing.
William Katz: Okay. And just you've mentioned in your commentary that there could be some pressure on the base fee rate given the market backdrop, if that makes sense. Is there a way that you could give us what the exit fee rate was on the base fee rate at three thirty-one maybe versus the average for the quarter at the prior actual number?
Tom Simeone: Know what else I have in front of me? And I'm sorry, William, is the fee rate for the quarter of 39.5 basis points.
Operator: Thank you very much. Your next question comes from the line of John Dunn with Evercore ISI. John? Please go ahead.
John Dunn: Thank you. Maybe the pipeline being up is great. Can you just get maybe give us a little more flavor of the temperature of different parts of the institutional side of the business, and also maybe kind of a look geographically if there's any different appetite for risk in different regions.
Onur Erzan: Yeah. Sure. Yeah. We feel very good about the continued strength in the pipeline. There has been definitely very strong kind of upside from particular fixed income. Insurance, as I mentioned earlier, was a big contributor. But we also had increased allocation to our systematic fixed income capabilities, which we launched relatively recent in the last several years, and it's great to see that that's opening a new type of opportunities for us. And we onboarded the in terms of the pipeline. We added a significant international client, a European client to that strategy. So feeling good about the momentum there. In terms of other areas of pockets of strength, I mean, definitely, the demand for asset-based finance is strong across different geographies. I'm talking at this point more prepipeline, but definitely terms if I look at the client conversations, what comes to the CRM, definitely, you would see a lot of asset-based finance type conversations. That is there. When it comes to equities, equities have been somewhat concentrated in the more under-allocated areas, whether it's emerging markets, whether it's value strategies, whether it's the small mid-cap. Right? Because it has been very dominated in the last several years with the large cap, with the mix, mega seven, etcetera. So those are the areas that we have seen more increased client interest, if you will.
John Dunn: Got it. And then US growth equities in Japan, so distributed in Japan, have been a nice tailwind for you guys. Are you seeing any kind of early signals of non-US investors avoiding business with the US?
Onur Erzan: Sorry. The last part of your question got muffled. Can you repeat the last part of your question, please?
John Dunn: Yeah. Sure. I used to use the Japanese or other non-U.S. investors avoiding investing in US stocks?
Onur Erzan: No. We have not seen that broad trend. My guess is gonna be a reaction more country by country. Definitely, we have not seen any major impact in our core geographies like Japan. Obviously, we need to monitor what happens over time. And maybe there could be some reaction to US exceptionalism. But so far, looking at the activity since the Liberation Day, we have not picked up anything dominant.
John Dunn: Thank you.
Tom Simeone: Hey, William. This is Tom. Let me just get back to you on that one thing. While we don't look at the exit fee rate, I will say the 39.5 basis points that we experienced for Q1 that ticked down a little bit in the later half of the quarter. So if that helps you in any way there.
Operator: That concludes the conference call. You may now disconnect.